Operator: Thank you for standing by. My name is Kayla and I will be your conference operator today. At this time, I'd like to welcome everyone to the Unum Group First Quarter 2025 Earnings Call. All lines been placed on mute to prevent any background noise. After the speaker's remarks, there will be a question-and-answer session. [Operator Instructions]. I would now like to turn the call over to Matt Royal, Investor Relations. You may begin.
Matt Royal: Great Kayla, thank you and good morning. Yesterday afternoon Unum released our first quarter 2025 earnings press release and financial supplement. Those materials may be found on the Investors section of our website along with a presentation of the most directly comparable GAAP measures and reconciliations of any non-GAAP financial measures included in today's presentation. Please note that today's call may include forward-looking statements and actual results which are subject to risks and uncertainties may differ materially and we are not obligated to update any of these statements. Please refer to our earnings release and our periodic filings with the SEC for a description of factors that could cause actual results to differ from expected results. References made today to core operations, sales and premium, including Unum International are presented on a constant currency basis. Joining in this morning's conference call are Unum's President and CEO Rick McKenney, Chief Financial Officer Steve Zabel; Tim Arnold who heads our Colonial Life and Voluntary Benefits lines; Chris Pyne for Group Benefits and Mark Till, CEO of Unum International. Now let me turn the call over to Rick.
Rick McKenney: Thank you, Matt, good morning, everyone and thank you for joining us today to discuss our first quarter results. At our outlook meeting in January, we laid out our expectations and plans to continue our momentum which includes our ability to maintain industry leading margins, grow our top line at mid-single digit levels, maintain robust capital flexibility and actively manage the closed block. Our achievements in the first quarter underscore our advancement towards these goals, particularly highlighted by the long-term care reinsurance transactions announced in late February. The first quarter financial results are highlighted by core operations achieving an ROE of over 20%, premium growth exceeding 4%, $350 million in underlying statutory earnings and capital metrics significantly surpassing our targets. Even with this solid execution, we came up a little short of our plans with earnings per share of $2.04 reflecting a higher level of disability claims. As we sit here today, we continue to execute towards our full year growth outlook of 6% to 10%. Since our last call, the first quarter has clearly brought about significant volatility in economic sentiment. We do not see a near term impact from the potential changes in prevailing economic conditions as several of the drivers, including higher interest rates, are positive for our business. Our strong positioning in this period ultimately enables us to effectively support our clients during periods of increased uncertainty as they support their employees with a backdrop of stability. The first quarter environment concluded positively with interest rates remaining favorable, employment levels remaining healthy and wages continuing to rise. This healthy labor market was evident in our existing client base and where we observed levels of natural growth that contributed to our success, albeit at more typical levels. Our offerings, which are part of a comprehensive employment package aimed at attracting and retaining talent, play a crucial role in providing critical protections for employees. Our connection with these employers in today's environment is strengthened through our digital interactions and our ability to deliver quality services. This includes leave administration which is increasingly important to them. As these digital interactions are crucial to our growth story, they require continual focus and investment to maintain our differentiated status. Looking across the franchise we saw sales that were at a comparable level to 2024. There was a slight increase in Unum U.S. and we were pleased to see Colonial Life starting to get growth back into the sales results. The international segment did see a large decline but was more impacted by a current period lack of large case sales and given the size of this business we can see that volatility period to period. There was also variability across product lines with strong sales growth and voluntary benefits and a little bit of softness across our group lines. The reality is it remains early in the sales cycle. Our pipeline for group sales for the remainder of the year looks promising and we expect to achieve our overall sales goals as we proceed through 2025 in a similar pattern that we saw the strong full year results of 2024. While still early in the sales pipeline we are seeing the success of last year's sales play through our top line with earned premium in our core operations growing at 4%. Persistency in some products line was lower than last year's high point and remains in-line with more historical levels. Over time as our digital capabilities embed further within our customers processes, we will look for increasing levels of persistency as there will be increased ease of doing business with Unum and with Colonial Life. Across the franchise we continue to generate strong margins. Our expertise in addressing our customers needs combined with our pricing discipline has served us well. Of note this quarter we did see an elevated benefit ratio in group disability. While consistent with our outlook of low 60s and still delivering high margins, the benefit ratio in 1Q moved up several points driven by a higher level of incidence in both long-term and short-term disability. After multiple years of positive performance, we currently believe this quarter is more about near term volatility but we will continue to watch as the year plays out. Importantly, recoveries remain good and the higher level of incidents in long-term disability was more acute earlier in the quarter before settling down. Rounding out the rest of Unum U.S. we saw good broad-based performance. Group life and AD&D continued to generate earnings levels higher than pre pandemic levels. Supplemental and Voluntary saw good margins in both IDI and voluntary benefits. International results were in-line with expectations with the UK earnings in the higher 20-million-pound range and Colonial Lifestyle ROE close to 20%. Outside of the core business, long-term care experienced a good first quarter. While headline results are below our annual guidance range, this was driven by lower returns in our alternative asset portfolio which backs our long-term care block. Underlying liability trends were generally in-line with our expectations. These good results paired with continued active management of the block driving further confidence in our position. Our multifaceted approach continues to execute on premium rate increases, examining ways to further insulate against interest rate through hedging and explore further action to reduce the size of the book through reinsurance. It was just over two months ago when we announced our two long-term care transactions which will remove 20% of the risk of this block at favorable economic terms and release significant capital through our internal restructuring. While we are pleased with the expected outcome of these deals, we continue to be active and strive to further reduce this exposure. As we funded this business fully in 2023. We have remained committed to not add capital to this line of business. Differently this quarter our capital position was bolstered and capital was released by the internal reinsurance we discussed in February. As a result, we ended the quarter with record levels of holding company liquidity at $2.2 billion and one of the highest RBC positions we have seen at 460%. Statutory earnings were also strong with one-time benefits from our restructuring that drove the headline result of nearly $500 million. This position enables high levels of optionality with capital deployment and as such we repurchase shares in the first quarter of roughly $200 million. This is one way we return capital to shareholders, but also important is consistent dividend increase which we will announce as part of our annual shareholder meeting process in May. We remain excited about the opportunities ahead and are committed to delivering on the present. Now let me hand it over to Steve who will provide further insights into our performance and discuss how these results shape our future trends. Steve?
Steve Zabel: Great. Thanks Rick and good morning, everyone. As Rick described, the first quarter was a good start to the year. From a top line perspective, we're seeing strong levels of growth in our core operations with premium growth of 4.2% aided by the strong levels of new sales we saw last year. We are pleased to see this result as persistency levels for some products ease slightly as expected from record levels experienced in 2024. Overall sales for core operations were down slightly with lower large cage sales offset by strong voluntary benefit sales. When considering the first quarter results, the seasonality of our sales and a healthy pipeline, we are maintaining our outlook for full year 2025 sales growth of 5% to 10% across core operations. In addition to growth, our margins continue to be robust with benefit ratios at or favorable to our expectations and historical levels across all products. I will dive into the group disability benefit ratio more in a moment, but we'll note that we do not have reason to believe the increase in the first quarter is indicative of a reversal of recent favorable trends and therefore believe we can achieve our annual expectation of low 60% for the full year. In the first quarter, adjusted operating earnings finished at $466.8 million, leading to after tax adjusted operating earnings per share of $2.04. This result was down 3.8% from last year, driven by the disability benefit ratio dynamics mentioned earlier as well as the impact of our current year operating expense pattern which will decline throughout the year. We recorded statutory after-tax operating income of $489.8 million, which incorporates an estimated $131 million favorable impact from the internal LTC reinsurance transaction we announced in February. With an underlying run rate of approximately $350 million, we are well positioned to achieve our annual expectation of $1.3 billion to $1.6 billion of statutory earnings from our traditional insurance subsidiaries. While we are only one quarter into the year, we remain confident in executing against our capital targets for 2025. Now let's move into the segment financial results. Starting with Unum U.S. adjusted operating income decreased 14.6% to $329.1 million in the first quarter of 2025 compared to $385.2 million in the first quarter of 2024. Natural growth of lives and wages continued at normal levels of between 2% and 3% and along with total group persistency of 89.3% supported premium growth of 4.3% in Unum U.S. Overall, Unum U.S. sales were higher in the first quarter of 2025 by approximately 1% year-over-year driven by strong voluntary benefit sales. As Rick mentioned, the pipeline for group sales over the next two quarters is healthy and we expect overall all sales to meet our expectations of 5% to 10% growth for the year. Adjusted operating income in the group disability line of $119.2 million was lower compared to $164.8 million in the first quarter of 2024. The decrease was driven by higher incidence across both short-term and long-term disability with continued strong recoveries for long-term disability. While the group disability benefit ratio of 61.8% compared unfavorably to the year ago period of 57.5% and was slightly above our expectation, it was within our low 60s expectation for the year. Also, as a reminder, we decided to exit the stop loss business in 2024. While insignificant to earnings, group disability premium growth in the first quarter would have been approximately 3% when excluding stop loss in both periods. Adjusted operating income for Unum U.S. group life and AD&D finished at $69.2 million in the quarter compared to the year ago period of $78.8 million. The benefit ratio of 69.3% was slightly elevated compared to 68.2% a year ago driven by higher incidents, but was in-line with our outlook of approximately 70%. Adjusted operating earnings for the Unum U.S. supplemental and voluntary lines in the first quarter of 2025 decreased slightly to $140.7 million from $141.6 million in the first quarter of 2024. The voluntary benefit ratio was in-line with our expectation of mid-40s, however increased from very favorable levels experienced a year ago offset by a reduction in the multi life individual disability benefit ratio. As a result, supplemental and voluntary segment earnings will not be impacted by the recently announced reinsurance transaction with Fortitude Re until the transaction does close. Moving to Unum International adjusted operating income in the first quarter increased to $38.7 million from $37.4 million in the first quarter of 2024. Adjusted operating income for the Unum U.K. business increased in the first quarter to GBP 29.5 million compared to GBP 28.2 million in the first quarter of 2024. Premium income for our Unum International business segment increased by 7% year-over-year including 18% growth in Unum Poland. Strong persistency in excess of 90% in both Unum U.K. and Poland helped to offset decreased overall sales in the quarter. Next, adjusted operating income for the Colonial Life Segment increased to $115.7 million in the first quarter compared to $113.7 million in the first quarter of 2024. Premium income of $457.3 million grew at a rate of 2.3%. Record levels of first quarter earnings and premiums were supported by persistency of 78.1%, a similar level to the year ago period. Sales in the first quarter of $105.3 million grew 2.2% over last year. After several quarters of reduced sales growth at Colonial Life, we are very pleased with a strong start to 2025. In the closed block segment, adjusted operating income of $24.4 million in the first quarter of 2025 compared to $27.7 million in the fourth quarter of 2024. Earnings were lower due to primarily to lower income on alternative assets which yielded 5.1% in the first quarter on an annualized basis compared to our long-term expectation of 8.10%. As we've experienced in prior years, a lag in reporting in the first quarter can impact timing of results and delay recognition of earnings into the remainder of the year. A subset of year end partnership statements for alternative investments will be received and reported in the second quarter results. As a reminder, our annual outlook for this segment of $140 million to $170 million assumes a normalized level of alternative asset returns and therefore can be impacted by quarter-to-quarter fluctuations. Within the closed block aggregate benefits experience for LTC was generally in-line with our expectations and we remain committed to no longer requiring capital contributions to support this block backed by our $2.6 billion of protection at Fairwind. The LTC net premium ratio was 94.7% at the end of the first quarter of 2025 compared to 94.6% in the fourth quarter of 2024. Sequentially, the increase of 10 basis points reflects modestly unfavorable benefits experienced relative to long-term expectations in our uncapped cohorts. In terms of rate increases, we continue to make progress and have achieved approximately 55% of our current reserve expectation through the end of the first quarter. Finally, I wanted to provide a brief update on the external LTC reinsurance transaction we announced in February. As a reminder, we have agreed to cede $3.4 billion or approximately 20% of long-term care statutory reserves along with a portion of our Multi Life individual Disability in force to Fortitude Re. Overall, the transaction is expected to generate approximately $100 million of capital benefits. We are working through the pre-approval process and customary closing conditions now. The process is progressing well with no changes to our overall timeline. While the breadth of our financial impacts will be reported in the period the transaction closes, some aspects of the financial reporting requirements are reflected in our first quarter results. This was notable in first quarter reported net investment losses of $206.8 million. A significant portion of this amount, or $152.4 million, is attributable to recognizing losses on assets in the transaction transfer portfolio that were in an unrealized loss position. Unrealized gains on assets within the same portfolio will be recognized once the transaction closes. And for your reference, the transfer portfolio had total unrealized gains of $115.4 million and as of the end of the quarter. In addition, asset sales associated with generating liquidity for both the external and internal LTC transactions resulted in realized losses of $42.6 million. Considering impacts from both of these transactions, the realized losses generated by routine portfolio activity during the quarter were under $10 million. Wrapping up my commentary on the segment's financial results, the adjusted operating loss in the corporate segment was $41.1 million compared to $46.1 million loss in the first quarter of 2024, primarily driven by higher net investment income as a result of the first unit dividend to the holding company. Shifting to investments, we continue to benefit from the favorable environment for new money yields and effective risk management. Our strategy supports a comprehensive through the cycle approach. In addition, we have taken opportunities to de risk our investment portfolio over the past several years, highlighted by a significant reduction to high yield exposure from 7.8% of our total investment portfolio in 2020 to 3.4% as of the first quarter of 2025. Also in the first quarter, total net investment income was $513.2 million compared to $513.5 million in the same period last year. Miscellaneous investment income decreased marginally to $20.2 million compared to $20.8 million a year ago, with income from our alternative assets totaling $18.3 million. Additionally, we have maintained our hedge program to manage interest rate risk. Through the first quarter we had entered into $3.6 billion of treasury forwards with approximately $2.5 billion of notional hedges outstanding at quarter end. These open hedges secure the underlying treasury rate for a significant portion of our investable LTC cash flows over the next 10 years. I'll wrap up my commentary with an update regarding our capital position. We expect that our strong statutory earnings will persist in enhancing significant capital strength and financial flexibility. Similar to our experience in 2024, the weighted average risk-based capital ratio for our traditional U.S. insurance companies is further strengthened to approximately 460%. The liquidity at the holding company has risen to $2.2 billion, which does include a $630 million dividend from first Unum resulting from the internal reinsurance transaction. Although these metrics are expected to vary throughout the year, we anticipate a year end RBC of 425% to 450% and holding company liquidity exceeding $2.5 billion, both in excess of our long, long-term targets, providing us with capital flexibility. This flexibility is integrated into our strategies for share buybacks and annual increases in the shareholder dividends. Having repurchased shares valued at $200 million during the first quarter, we aim to achieve at least this amount in the second quarter. As we have previously communicated, we will review our plans for the year as a whole following the successful conclusion of the external LTC reinsurance transaction later this year. Overall, we are pleased with our first quarter results and remain well positioned to implement our strategy and meet our financial objectives. Now I'll hand the call back to Rick for his closing remarks and I look forward to answering your questions.
Rick McKenney: Great. Thank you, Steve. And I would just summarize today by saying that our commitment to excellence in growing our core business and protecting more people is combined with robust capital strength. I think this sets us up on a promising trajectory for the year ahead. So, I'm sure there are plenty of topics to discuss. And so, with that we will move to your questions. Kayla, please open the Q&A session.
Operator: [Operator Instructions] Our first question comes from the line of Ryan Krueger with KBW. Your line is open.
Ryan Krueger: Hey, thanks. Good morning. My first question's on disability incidents. Can you give us a little bit more color on what you saw with incidents as the quarter progressed and then in terms of the normalization back down during the quarter? Can you help us understand if that kind of continued into April at this point?
Steve Zabel: Yeah, Ryan, it's Steve. So yeah, you're right. During the quarter we did see elevated incidents above our expectations in both short-term and long-term disability. Long, long-term disability obviously is a big driver of overall profitability. And what we saw in the trends there were very high early in the quarter, specifically January, very high incidence rates. And those did come down, closer to what our expectations would be as the quarter played out. Don't really have anything to talk about April yet, but as we're looking forward to the remainder of the year, we do think that overall benefit ratio will come down a tick and be closer to kind of what our internal expectations were for the remainder of the year and really is one driver where we think we will have kind of a different trajectory of earnings as the year proceeds. I guess the other thing that I would say, and I mentioned in my remarks as well as Rick did, that recoveries were really close to our expectations. So, we felt really good about the level of recoveries that we saw. We just saw a little bit of a spike or early in the quarter on LTC incidents.
Ryan Krueger: Okay, thanks. And then just related follow up, I guess. How would you characterize your view of the economic sensitivity of disability claims? I think it's, there's been correlations within the industry at times, but it doesn't seem to be consistent. I think for Unum itself it has not always been correlated. But just any updated thoughts on how you see disability claims being correlated to the economy overall?
Rick McKenney: Sure, Ryan, we'll talk about that. And I think there has been a lot of exploration on the topic really over the last decade. And so it's hard to predict exactly what the environment will do going forward. But we can look back in terms of what we saw in previous recessionary, previous difficult environments. And I think what we've said particularly in long-term disability and so short-term can be a little bit different dynamic as well. But in long-term disability we can see submitted claims go up that just is reflective of people's as they look at their employment status, et cetera. But we don't see that higher level of submitted incidents necessarily turn into paid incidents. And so we can see a little bit of movement there over time, but it's not as sensitive as you, as you might expect. These are people that, you know, our long-term disability policies are to protect people that have suffered something that allows them not to be able to work and protect their income over time. It's not an economically sensitive policy. And so, it's hard to predict the future and how that works. But certainly, over the last couple of recessions we've seen those submitted incidents does rise, but it doesn't flow all the way through to paid. And so that's our best expectation of what we might see in the future as well.
Ryan Krueger: Great, thank you.
Operator: And your next question comes from the line of Suneet Kamath with Jeffries. Your line is open.
Suneet Kamath: Great, thank you. Good morning. So, you reaffirmed the 6% to 10% growth guide for the year, which implies a pretty healthy bounce back relative to the first quarter level. I think you talked a little bit about the group disability coming back, but can you talk about some of the other drivers that kind of get you there?
Rick McKenney: Yeah, let me start on that Suneet and talk about, in aggregate I think one of the things that we highlighted is this quarter was a little bit lower than our expectations. But I think also part of our expectations is that we have anticipated an increasing trend throughout the year. I'd also say this is quite early in the year and so we have a lot of work to do to continue throughout the year. So it's a small snapshot at the beginning of the year and not certainly a time where we would look to change what our outlook is overall. But you did ask for a couple of specifics that you can plug in there and maybe, Steve, you can highlight a couple of things that we think will be different in future quarters than you might have seen in this quarter.
Steve Zabel: Yeah, yeah. So, I mentioned really three things and I'll kind of go click down on these Suneet. One is group disability loss ratio. The loss ratio was a little bit elevated from our expectations in the first quarter. We don't think we're going to somehow make that back over, the remainder of the year. But we do think that loss ratio is going to come back closer to what our expectation would have been coming into the year and how we set our outlook, so that's number one. All income, our yield was just over 5%, due to the issues with the lag in the reporting, we had anticipated that. And so, when we set our outlook at the beginning of the year, we'd anticipated 8% to 10% yield for the full year on that portfolio. Even with the first quarter results, our expectation is that that's still a good assumption for us that we'll be able to do that. So, that's going to give a little bit of an overweighted increase to earnings as we proceed through the remainder of the year. And then operating expenses were a little higher in the first quarter. We also anticipated that just the pattern of some of our expenses throughout the year. And so, when we gave guidance around a slight uptick in operating expense ratios in '25 over '24, we still feel good about that. And we do think we're going to have a downward trajectory in our operating expense ratio as the year progresses. And so those are kind of the three things that just in general we think will make the last three quarters a little bit different than the first quarter. But then there's also two things that just build momentum naturally throughout the year. One is just organic growth. We think we'll have top line growth as the year proceeds and that will be good margin business that will drive higher earnings in and of itself as the year progresses. And then also share repurchase, that builds a lot of momentum as far as EPS growth goes through the year. We evaluate that every quarter. But that will build momentum as we go through the year and really drive that EPS growth. So, when you put that all together and based on the planning assumptions that we have today, we do still feel like 6% to 10% is a reasonable place for us to be and we'll just have to evaluate it as we get through the year.
Suneet Kamath: That's very helpful, thanks. And then you had said something in the prepared remarks that I wanted to drill into around technology and that potentially leading to higher persistency going forward. Can you give us a sense of like what percentage of your book at Unum U.S. is using Leave and some of the other technology initiatives that you have just to get a sense of how much, you know, more upside is there?
Chris Pyne: Yes, indeed, it's. Chris, thanks for the question. It is an astute point to say where we have our tech investments, including things around Leave or integration with HCM platforms, that we do see and expect to see an increase in persistency. You picked up on the fact that, yes, that is not our entire book right now. We do have some business traditional and does persist quite well, but more at traditional levels you saw some of that in the quarter. Rather than giving exact percentages, you can be sure that we're working hard to do two things. One is a significant percent of our new business that comes on, tied to those capabilities is quite high. And we also have a migration strategy to make sure that we're moving the block toward that preferable -- those investments at the right time if the customer pay. Sometimes, it depends on when they're ready to make the shift. But we do have a team set up and momentum in that direction. So, it will be an increasing part of the story, and therefore, persistency rises over time. And hopefully, at that level, it gives us some steer.
Suneet Kamath: Got it. Makes sense. Thanks.
Operator: And your next question comes from the line of Joel Hurwitz with Dowling. Your line is open.
Joel Hurwitz: Hey, good morning. Just sticking on the persistency topic. Can you unpack what you saw in group? I know you indicated it would come down last quarter, but I'm a little surprised by the magnitude of the drop. And then just following up sort of on Suneet's question, what are you -- are you seeing noticeable differences on persistency for customers who utilize the HR Connect or total lead platforms?
Chris Pyne: Yes. Thanks, Joe. Chris, again. So again, thanks for noticing. We did expect to see persistency more traditional levels as we went into this year. We did know last year, you had a market dynamic that was some pent-up demand, I say post-COVID, where we saw fewer marketings and we knew there were some projects that were going to come to market. We benefited from that significantly with the 1:1 sales cycle. And -- but we also, at the same time, there were some parts of our book that have been quiet for a period of time that went out to market, which presents some risk unit. You saw that in some persistency challenge through the course of the quarter. In terms of what we expect to see when we have tech-enabled connections and leave management, it is that important to a customer that not only are we targeting the right customers that will work really well with the program, but we also do a great job setting expectations in terms of how this new way of doing business in a modern digital way is going to work. And that takes time. We've done an increasingly good job of targeting the right types of customers so that they win even bigger when they take advantage of it and also making sure they understand the new world and how you -- when you leverage technology, can really change that customer experience, which is both their experience as an employer, but also the employee experience, which is really important in high-transaction things like lead management. So, you can expect us to continue to get better at that. And again, that's been a multiyear program that we're deep into, and we'll continue on.
Steve Zabel: Yes. The only thing I'd add to that is when we think about the dynamics of sales, persistency and then also natural growth. The overall objective here is overall top line growth. And I think you saw in the first quarter that the results were pretty good that even with those levels of persistency, we're growing top line, and that's the ultimate goal. And sometimes you're going to have more activity in market and sometimes you're going to have less, but all in, we want to grow the business, and we were able to grow at over 4% in the first quarter.
Rick McKenney: Yes. And I'd add to that, Joel. When you look at our persistency levels in this quarter, a 90%, I mean our customers are quite happy with what we're doing today. And so we're talking about continuing to increase that and how that plays through in persistency. If we have relationships that are digitally embedded with our customers and their overall satisfaction rates with us are high, they'll stick with us. But I also want to say, they're good today. They're good today. We're a leader in this space. With the right products, the right solutions, the right capabilities. And so this is about how can we get even better with our customers.
Joel Hurwitz: Got it. That's helpful. And then one on disability. And just taking a step back and looking at experience over the past couple of years versus maybe pre-pandemic -- how much have incidence rates on long-term disability and I guess, recoveries changed? And on the recovery side, can you just help to mention what that improvement has done in terms of reducing average claim duration?
Steve Zabel: Yes. It's Steve. We haven't really put out statistics just around number of recoveries and those types of things. I'll just refer back to some of the comments that we've made in the past. If you go all the way back to pre-pandemic and kind of play the movie forward through the pandemic, we definitely saw increased levels of incidents, but then as we saw that play through in the '23, '24 timeframe, those incidence levels really came back to kind of historical norms and stayed consistent. Notwithstanding what we saw in the first quarter of this year where they were a little elevated. We kind of feel like we're back in on stable ground there as far as the level of incidents. What was kind of math throughout the pandemic was our recovery rates continued to increase, and you saw that in a couple of ways. One, we made multiple changes to our best estimate assumption within our LTD claim reserve. And so it was kind of a consistent improvement throughout that period of time. And then just as we think about going forward, we felt comfortable with the operational sustainability of the levels of recoveries that we saw in 2024, and those did maintain into the first quarter. So we haven't given specific statistics around that. But just kind of general directional. That's what we've seen really play out from pre-pandemic until the current state.
Joel Hurwitz: Okay, thank you.
Operator: Your next question comes from the line of Elyse Greenspan with Wells Fargo. Your line is open.
Elyse Greenspan: Hi, thanks. Good morning. My first question is just on capital. obviously, you guys gave us the Q2 outlook, which is close to the Q1. You guys obviously have a lot of extra flexibility, right, with the reinsurance deal. So why not raise the buyback and kind of lead in here versus -- I know you guys said you would revisit once the LTC deal closes later this year.
Rick McKenney: Yes. Thanks, Elyse, for the question. I mean I would just step back a little bit from our overall capital deployment plans that have that have been fairly consistent. And I think the big thing here is our capital generation has been significant. We had that last year. We had that in the plan this year. And so it does give us a lot of flexibility. Like we said, our priorities are going to be about how do we continue to build out those good operating businesses, invest in the right places that can be both on an organic basis as well as M&A, how can we bring new capabilities from an M&A structure. So you start with that. Then you've talked about -- and I mentioned in my comments, an increasing dividend, which we've done for a period of time. And so those are kind of underpinning type levels that we have out there. And your question focuses on the share repurchase. We purchased $200 million in the first quarter. As Steve said in his comments, we expect that will increase that, be more than that as we look to the second quarter. The dynamics that we have around that in terms of things we factor in. One, you mentioned the long-term care transaction closing. So we're looking forward to that and making sure that, that happens at a reasonable timeframe and then we'll be dynamic. And I think that that's what we've said really coming into last year, given the significant flexibility that we have we're going to make sure that we're dynamic in how we deploy that capital. And so I really don't want to give you much more insight in that. We take all those factors into account as we do that. We'll give you some more insight as we close the long-term care transaction. But we're going to be active in the markets, like we said, and we do have capacity to do more if the situation warrants. And so we'll give you that view as we work along the way. So appreciate your comment. I'll just take us back to we're in a really good position from a capital perspective. As we mentioned these levels of liquidity, these levels of RBC are the -- some of the highest we've seen. And we want to return that to our shareholders. After we've done a good job of the growth of the business, but do so in a responsible, but a dynamic way, reflecting the environment that we have around us.
Elyse Greenspan: Thanks. And then my follow-up is just on sales. you guys reaffirmed the core sales growth outlook for the year. And it seems like you pointed, I think, to some seasonality like last year. So would your expectation be that sales would pick up scheme and be the strongest in the fourth quarter? Or any color you can just give us on the quarterly projection of sales that you see for this year?
Rick McKenney: Yes. Thanks, Elyse. I think this would be a good opportunity to talk to the teams about what they're seeing in the year. I know it is early in the sales cycle. And so we haven't done a lot, but I think we can probably give some good context in terms of what we're seeing and why we feel like our overall sales growth is tracking. So maybe you start off, Chris?
Chris Pyne: Yes. Great. Thanks, Rick. Well, we had a great fourth quarter, and obviously, that was a good start to the year. Momentum was a little bit slower, very early in the quarter. But I would point you to the fact that first quarter for group effective dates, particularly on the larger end, I think Steve mentioned in his comments, it can be a little volatile. There just aren't a ton of larger employers that move for 21, 314 and type effective date. So you don't see -- you can see some volatility in those results. We saw that this quarter. But when we look to for the balance of the year, and we're really getting into that exciting sales season for larger employers for 1/1, but we'll see 7/1s and third quarter effective dates in market right now. Great pipeline as it relates to strong levels of activity but the qualitative element of that relative to targeting customers that will respond well to the tech investments we've made that are very anxious to get into a better situation around leave management where we know we'll have higher close ratios, that is very encouraging at this point. So our teams continue to get better at kind of finding those customers and then the close ratios hold. And again, we really like where we stand right now in the year and are excited for the next three quarters.
Rick McKenney: That's great. Tim, we can talk about voluntary benefits had a great first quarter, but I'm talking about how we're feeling about it in the Colonial Life as well.
Tim Arnold: Yes, sure. So on the B side, we were very pleased with first quarter sales results overall commence about 40% growth, and that growth occurred across all segments. So it wasn't just a large case here or there that drove it. We saw really strong new client sales growth again across all segments. And that led with persistency slightly above expectations that led to revenue growth north of 5%. So pleased with that. We're also pleased with the degree to which we're cross-selling into our existing group business block. We're cross-selling into clients who have the tech platforms that Chris talked about earlier. And we're also cross-selling it to clients who had the Unum leave program. So very excited about what's happening on the Unum side. I'll say it for Colonial Life, we're encouraged. We see modest sales growth in the quarter, which led to 2.3% premium growth. What we're really excited about is in our public sector, again, our most profitable sector, we saw 18% growth in the quarter. New client sales growth was 11%, so that indicates that new clients see the value prop that Colonial Life brings to the table. As you think about leading indicators, recruiting was up almost 17% in the quarter and sales from new agents were up 34% in the quarter. We also saw really strong growth with our proprietary HRIS platform well above expectations there. So I would say, very pleased on the Unum inside, very encouraged on the Colony life side.
Rick McKenney: Yes. And then, Elyse, internationally, we've had some really strong top line growth here over the last couple of years. And Mark, maybe you can give some indications about how we're feeling for the full year.
Mark Till: Thanks, Rick. Yes, I mean, the Polish businesses continue to have very good growth. You've seen sales growth of 27% quarter versus prior year. The U.K. business has had -- also had very strong growth in its sub-500 live core business, was up about 15%. What's been a bit harder to come by in the first quarter was large case sales. I think a little bit of global economic uncertainty and a little bit of increased taxing in the U.K. has probably contributed to that. We've also found some of the larger employers is not quite -- not quite passed on increase the size of their sales -- their employee basis quite as much as well. So those two things have affected us a little bit, but we're fighting hard for the rest of the year, and we think that we can continue to grow the business nicely.
Rick McKenney: Thanks, Mark. Appreciate the question. It's good to get all those perspectives. That's why we feel good about our top line as we look to the rest of the year.
Operator: And your next question comes from the line of Tom Gallagher with Evercore ISI. Your line is open.
Thomas Gallagher: Good morning. First question, just on disability claims. Rick, you had mentioned that during periods of economic weakness, you see submitted incidents go up but you also see claim denials going up to some extent. Are you actually seeing that? Like when you look at underlying -- I know you said January incidence was higher. Are you seeing kind of that early warning sign that submitted incidents has kind of been rising yet? Or have you not yet seen that? And also, anything in the January rise that you saw for certain industries or an industry that was particularly contributing to that?
Rick McKenney: Yes. No, Tom, I'd be very clear to say that the dynamics we talk about are really potentially forward-looking. I mean, we don't know where the economy is going. There's a lot of speculation about that. But if I go back to January, we were in a very different feeling around where the economy was going, et cetera. So I'd take you there first. The second is there is a little bit of a lag. So, you think about long-term disability policies people have gone through an illumination period, et cetera, before they get to that long-term disability. So, this is not an indication of anything that we see out there correlated to what's going on in the market. That might be way further down the line. That will take a while to actually transpire as we get there. So, our discussion around what might happen in a recessionary type environment, a stressed environment, that would be further out into the future. But I think that -- we gave you a little bit of parsing around January. We don't normally do that to get into that level of detail. It is volatile in a period of time. And so I wouldn't read too much into it, just to say that we haven't hit any kind of trend that we're concerned about at this point.
Thomas Gallagher: And just to be clear, Rick, you're not seeing any early warning signs, if I could call it that, on higher submitted incidents that usually is kind of indicative of you might start to see a pattern?
Rick McKenney: Yes. I'd say, Tom, we're not going to be the place where you see early warning signs. We're going to lag a little bit in terms of what may be transpiring. So it's not that. I think we highlighted, and that's why we talk about is volatility because it's what we see in the first quarter. So we'll be certainly talking about the trends, depending on whether the economy goes and what it does, but that will be in future quarters, not anything we've seen today.
Thomas Gallagher: Got you. And then my follow-up is just on Valens. One on -- can you just quantify the reserve release that you had in that segment this quarter? I know it was like unusually strong, but how much of that was a onetime reserve release? And then anything else on what's driving the strength in sales and earned premium growth. It looks like it's mainly individual disability from a numbers standpoint. Was there something in particular driving that? Or it sounds like from the comments made earlier, you expect that to remain pretty strong? Thanks.
Steve Zabel: Yes, Tom, it's Steve. I'll take the first part of that, and then Chris can handle the sales question. Yes. So yes, I know we didn't disclose the amount. It was right around $14 million of a gain on the recapture of a reinsurance transaction during the first quarter. That was kind of a onetime thing. It wasn't necessarily a reserve release. It was just kind of the aggregate economics of recapturing a treaty that we had on that block. So that will be something that won't trend going forward and doesn't impact things like necessarily loss ratios and those types of things. So just so you can scope. The thing that I would say is we still had a very good quarter in supplemental and voluntary, it was above kind of the run rate outlook that we gave of $120 million. So, we felt great about how the business performed, even ex kind of that onetime thing, and the sales...
Rick McKenney: Yes. And Tom, thanks for the opportunity to talk about our industry-leading individual disability franchise. It really is a highlight business for us. We don't talk about it nearly enough -- this quarter, it does stand out with double-digit sales growth. I think we're around 11% year-over-year sales growth. And that came as Tim was referencing earlier on the voluntary side, it wasn't necessarily one large case driving it. It was just a night a bunch of solid transactions coming through. So we love seeing that. It's great coverage, fits very much the attractive retain environment that Rick referenced earlier on. It was coupled with really strong claims results. So it does show up really nicely in the quarter. But I think overall, please -- always look at the individual disability business for -- as a real highlight leadership position for us.
Thomas Gallagher: Okay, thanks.
Operator: Your next question comes from the line of Wes Carmichael with Autonomous Research. Your line is open.
Wesley Carmichael: Hey, good morning. In long-term care, I just wanted to touch on that for a minute. It sounds like there was some higher mortality in the quarter, but I think you also called out the impact of capped cohort. So, I imagine it's a geography impact, but just hoping you can maybe impact what you saw for LTC experience in the quarter?
Steve Zabel: Sure. I can take that one. Yes. So in the first quarter, we did continue to see some elevated claims incidents. but still feel comfortable with the trends we are seeing and kind of the storyline of getting back to a more normalized claim inventory, I think, continues to hold. We did see elevated claimant mortality, which is normal for the first quarter just because of the seasonality flu season, that sort of thing. We did see that. I'd say overall underwriting profitability on the block was kind of at expectations, if not a little favorable to our expectations when we set our original earnings guidance for the year on Closed Block. The difference is maybe some of the unfavorable against our ultimate assumptions, experience that we saw were more driven from those cohorts that you would see the impact of that go through the NPR, that were uncapped cohorts, where some of the favorable experience actually came through earnings. They were in more of the cap cohorts. So you kind of take that all in and you think about the guidance, the full year guidance we gave of 140 to 170, really, the shortfall against what the kind of quarterly amount that would support that would be, was this dynamic around lower alternative asset income for the year. As I said in some of my opening remarks and then a discussion about EPS guidance, we do think -- we do think we will make that up just kind of through our long-term assumption for the year and be able to hit that range of 140 to 170 for the full year.
Wesley Carmichael: Thanks, Steve. And my follow-up, I guess, on the expense ratio, it sounds like that was a bit front-end loaded. Can you just talk about are those elevated investments? Is there some stock comp in there and how that's going to trend throughout the rest of the year? And I guess, if I go back a couple of years and I look at your 2023 outlook, I mean, I think the expense ratio is expected to peak a couple of years ago. Are there still investments you need to make in the business going forward?
Steve Zabel: Yes, I'd say it's just a combination of further investments in our operations, including our technology and our people. would be in there. There were some incentive costs that are a little bit heated in the first quarter that drove a little bit of that, and we had anticipated and it's pretty normal of what we see just generally. So yes, we -- as we said our original guidance for both earnings as well as for OpEx ratio levels. We did expect this to be a little bit higher in the first quarter and then trend down and that would still be our expectation.
Wesley Carmichael: Thanks.
Operator: And your next question comes from the line of Alex Scott with Barclays. Your line is open.
Alex Scott: Hi. I wanted to circle back on macroeconomic sensitivity. You commented some already on discility incidents. But I'd just be interested if you're seeing any early signs of your clients, whether it's small or midsized corporate level, changing behavior at all in terms of how much they're hiring or consuming in terms of group benefits?
Rick McKenney: Yes. Maybe I'll start with the overall economic environment. And you highlighted one, which we did delve into, which is what will happen on the disability of the loss side in that type of environment. I think the other thing we've talked about is premium growth, the growth, how much dependence is there around having a robust economy. So we think that, that is important. We talked about the natural growth there. But we see it as increasing or slowing our premium growth as opposed to taking that away. The last piece I'd mention too is on the investments front, and we've done a good job of looking hard at our portfolio. especially with potential environments that might come up and feel very good about that. But I think your question was specifically around like how are employers feeling about what we provide to them. And Chris, maybe you can give us some insight in terms of newer conversations or lack thereof that we're seeing with our clients.
Chris Pyne: Yes. Thanks, Alex. We're still seeing a lot of great focus and energy around companies that are really trying to go get the best talent, bring in top-quality people, they're making moves around the ecosystem of their own technology to run their businesses so that they can create the employee experience that really resonates and they can run their companies efficiently for growth. So we see a lot of bullishness still out there and opportunities to improve. Leave management kind of speaks to both ends of that. If you think about employers who are trying to put together the best and most flexible leave programs to attract the right type of employees and again, give them the flexibility that they still value but at the same time, make sure that they partner with a player like us who can keep track of everything, make sure that the experience is clear and tight and done in a modern digital way. those are the type of conversations we're having, and we're having lots of them and -- whether we're out with partners like Workday or ADP at some of their conferences, these are robust, exciting conferences and keep us very bullish for the future.
Alex Scott: Got it. That's helpful. Second question I had is just on long-term care and potential for reinsurance, any updated thoughts on just the capacity that's out there from the reinsurers for long-term care? How is that continuing to evolve? I mean we're hearing some industry commentary that maybe some of the European multi-lines or more interested in some of those related to their capital ratios and so forth and benefits they get. So are you seeing more opportunities to potentially keep fighting up pieces here?
Rick McKenney: Yes. Thanks, Alex. When we think about -- we've said we're going to continue to be very active in the management of our long-term care business. And the transaction that we had was [indiscernible], the third one that we've seen out there in the market today. It was a good deal for us. It was a good deal for our counterparties. And I think when you see that type of environment, it garners a lot of interest when they can look at what it might mean to them and seeing some of the details that we put out there. And so we continue to be actively in pursuit of these type of things for the interest to ramp up to real evaluation takes a little while, but I think there's certainly interest around this both on the asset side and then when you think about the biometric side as well. And so we feel good that they'll be continued, but this is one of those things as we've talked about in the previous few years, takes time to do. You've got to have the right counterparty, you got to have the right match. We were very, very pleased to get that done. But the same dynamics exist going forward in terms of how we look at it. So, we'll look for an active market and certainly we've got to close this last deal first, but we'll be active out there in the rest of the year.
Alex Scott: Thank you.
Operator: And your next question comes from the line of John Barnidge with Piper Sandler. Your line is open.
John Barnidge: Good morning. Thank you for the opportunity. Can you maybe talk about the macro conditions in international markets? I believe the economy in Poland is generally doing better than in the U.K. So how do you view the opportunity set for international? Thank you.
Rick McKenney: Great, Mark?
Mark Till: Yes, you're entirely like to say, actually, Poland is one of the strongest economies in the European Union as a whole. And that market has been growing well. We've been growing fast in that market. You'll have seen premium income growth in the quarter of 18%, and we've had a long-term positive trends there. So we continue to be feel good about the Polish market and investing in the Polish market. And you are seeing the U.K. market has been on a long-term positive trend. I mean our results from the U.K. market now. Earnings are close to that $30 million a quarter mark as they were in quarter one this year. That's significantly up on the pre-pandemic levels. The government is investing hard in growth in the U.K. And it might be against a slightly more difficult global economic background. But I do think, generally speaking, we feel positive about the opportunity in the U.K. to see continued growth. The health service creates challenges for the employers who need to keep a healthy workforce and we're a very good answer to that problem for employers. So I just see the market trends being favorable for us.
John Barnidge: Thank you. And then my follow-up question. On recent renewals in the group benefit space, are you still seeing employment expansion in core as well as large markets? Thank you.
Rick McKenney: Yes. Thanks, John. So just overall renewals, in general, our disciplined approach to kind of going out and bringing customers to the right pricing level and trying to keep them on a predictable manner is still a good approach that is valued by our employer set and our broker consultants. So we'll continue to do that. We talk more and more about investments and capabilities during that time. In terms of the growth of these companies and adding employees, wages, we still see that natural growth that Rick mentioned at historical levels. So that's kind of in a normal spot, which feels good. We love what Tim referenced about adding voluntary benefits to group customers that don't have voluntary. So, there's another opportunity for growth. So overall, John, I'd say it feels like a relatively normal time around how we interact with in-force customers, whether we're adjusting price, adding lines or watching their companies grow at reasonable rates.
John Barnidge: Thank you.
Operator: And your next question comes from the line of Jack Matten with BMO Capital Markets. Your line is open.
Jack Matten: Hey, good morning. Just the first one on statutory earnings, which are strong in the quarter even backing out kind of the internal reinsurance transaction benefit, any color on just what drove that result even though there was some pressure on GAAP earnings this quarter?
Rick McKenney: Yes. Again, when we set our outlook for the beginning of the year, our GAAP outlook and our stat outlook would be set on the same fundamentals we did not view the first quarter as really tremendously challenging from a GAAP perspective. It was fairly close to our expectation across multiple lines. And so as that translated to statutory earnings yes, we viewed ex the impact of the internal reinsurance transaction. We were about $350 million of statutory earnings, and that was pretty consistent with what our planning assumption would have been coming into the year. And I think it translates very well to the full year outlook that we would have given back in January.
Jack Matten: Got it. That makes sense. And then just a quick follow-up on the alternative investment income. I guess is there any risk or sensitivity to the full year outlook, we don't get a market recovery, I mean I know you talked about having some visibility in your returns in the upcoming quarters. Just wanted to think if there's any risk to that that we should be thinking about?
Steve Zabel: Yes. What I would say on that is we're not really looking for market recovery. In essence, the reason that the yield was so low in the first quarter is more around just a reporting lag, where year-end statements are really what's going to be driving our first quarter earnings and just because those structures go through year-end audits, there tends to be more of a delay of those being presented to us to be able to record. So we're not counting on market recovery to get to our full year yield expectation, we're just really counting on a full year of reporting from those investments.
Jack Matten: Thank you.
Operator: Your next question comes from the line of Jimmy Bhullar with JPMorgan. Your line is open.
Jimmy Bhullar: Hey, good morning. So first, I just had a question on the disability business. And wondering what gives you confidence or what's different about this business now than prepandemic because prependeic you had mid-70s type benefits ratios, and it was still a very good business, 10% type margins, very high ROEs. And obviously, the last few years has been a lot better than that. But what gives you the confidence that either because of macro factors or because of just competition, we're not going to reset at those types of levels over the next -- not necessarily one quarter but over the next one to two years.
Steve Zabel: Yes, Jimmy, it's Steve. I think what gives us confidence is that operationally, we understand how our capabilities have kind of progressed over the period of time. And I'll go back to the comments I made earlier, where incidents by and large, over the last several years have been pretty consistent with pre-pandemic levels of incidents. And again, setting aside kind of the blip that we saw in the first quarter, and so that seems like a reasonable expectation going forward. And then from a recoveries perspective, we saw what I would say was progressive, modest improvement really over the last decade of our ability to get people back to work at a faster pace. And it's a combination of us understanding diagnoses and what getting back to work can look like for those through our data capabilities through just our ability to make accommodations for people and get them back to work. We've talked a little bit about we're in an environment where getting back to work looks different than maybe it did historically. And so, we've been able to really take that into account as we work with employees to get them back to work. But we've seen steady improvement over that period of time. Operationally, we know what's driving that improvement in our recovery rates. And so we do think it's sustainable. The question then that always comes up is just the competitive pricing dynamic and what that could look like. And so I don't know, Chris, if you want to hit on that?
Chris Pyne: Yes. Thanks, Steve. Just to add. When you get into the competitive pricing and some of the shifts that's happened over the past, say, decade, that's again where I keep getting back to when you're engaged in something that's outside of kind of contracts and provisions and you start getting into managing things like we were connecting into ACM platforms. It does change the dynamic around our importance to that customer. And suddenly, things like disability premiums, while still price sensitive and still competitive, it just takes the edge off of needing to drive every last dollar out of those kind of line items. And lead management does give us just a tremendous opportunity to engage in a high-volume sort of way with customers a complicated but really important end of the business for them. And again, I do think that's a parcel to what Steve was referencing in terms of our operational excellence that keep us confident in the future.
Jimmy Bhullar: And then just on the LTC NPR going up. It seems like from your comments, that's more of an aberration given results in GAAP versus uncapped cohorts. But what should we be looking at from the outside to sort of assess whether the reserves in that business are appropriate? Or what would cause you alarm and make you reassess your reserve position?
Steve Zabel: Yes. Yes. I'll just kind of reiterate some of the things I said earlier. So overall, our underwriting margins were at or maybe even a little bit better than our expectations in the first quarter. And it was a combination of continued slight elevated claim incidents. And so we continue to monitor that. And those hit those cohorts that would impact the net premium ratio. And so we did see that go up by 10%. But we saw very high claimant mortality which impacted a little bit more actual earnings in the period. And so in combination, we felt good about the overall underwriting margins for the period. We still feel good as we sit here today about our long-term expectations for both claim incidents and climate mortality. And obviously, we'll continue to monitor that going forward.
Jimmy Bhullar: Thank you.
Operator: Your next question comes from the line of Mark Hughes with Truist Securities. Your line is open.
Mark Hughes: Yeah, thank you. Good morning. The 17% growth in recruiting in the Colonial Life business. Is that maybe influenced by the macro? Or is that something that you're driving internally?
Tim Arnold: Thanks, Mark. I appreciate the question. We're very pleased with the recruiting results we saw in the first quarter. I think it's probably the work that we're doing internally. Our teams are very focused on recruiting. We ran a social media ad campaign, helping -- helping make it easier for people to join Colonial Life. And so we attribute largely to what we're doing internally. We are not hearing people say that they lost a job and they want to be a part of a colonial life now.
Mark Hughes: And then any change recoveries are obviously strong. Any change in the government's approach to disability awards?
Chris Pyne: Mark, Chris, so security backlog has been a topic that's been discussed at the industry level for some time. We'll continue to discuss that. We love as an industry to help the government get through social security approvals faster. That said, from our perspective, we don't see it as a major factor in our performance right now.
Mark Hughes: Appreciate it. Thank you.
Operator: And there are no further [indiscernible] at this time, Rick McKenney. I turn the call back over to you.
Rick McKenney: Great. Thank you, Kayla. I would like to thank everybody for joining us this morning and continued interest in Unum. So, as you can tell from our comments today, we remain very focused on executing our strategy and delivering our 2025 outlook. So, with that, we conclude today's call and look forward to connecting with you over the coming months. Thank you.
Operator: And this concludes today's conference call. You may now disconnect.